Andre Parize: Good evening, everyone. I'm Andre Parize, Investor Relations Officer at XP. Thank you for joining us. It's a pleasure to be here with you today. On behalf of the company, I would like to welcome you to our Fourth Quarter '25 Earnings Call. Today's presentation will be delivered by our CEO, Thiago Maffra; and our CFO, Victor Mansur. Both will be available for the Q&A session immediately afterwards. [Operator Instructions] Simultaneous translation into Portuguese is available during this conference call. If you would like to activate it, please click the button below. Before we begin, please see the legal disclaimer on Page 2 of today's presentation for additional information on forward-looking statements. The presentation is available for download on our Investor Relations website, and more information is also available in the SEC Filings section of our IR website. To begin the presentation, I'll hand it over to Thiago Maffra. Good evening, Maffra.
Thiago Maffra: Thank you, Andre. Good evening, everyone, and thank you all for joining us today for our fourth quarter '25 earnings call. Before delving into the numbers, I would like to comment on the recent shareholder change we have just announced in the 6-K. As announced, myself and Jose Berenguer, CEO of XP's Wholesale Bank, will become holders of XP Control LLC, alongside Guilherme Benchimol, who is still the main controlling shareholder; and Fabricio de Almeida and Guilherme Sant'Anna. This is part of the ongoing process of strengthening corporate governance, long-term alignment and the company's management model. Now to the results. In 2025, we continue investing in key areas of our business. We enhanced our core processes, scaled financial planning, deepened our segmentation strategy and launched new products. We also celebrate the fifth anniversary of our Wholesale Bank, an important milestone that demonstrates the strength and integration of the ecosystem we have built. This platform drives the evolution of service for our corporate and institutional clients in addition to create cross-selling opportunities across our ecosystem. Despite its relative short history, we have established a top-tier franchise that keeps growing in a consistent manner and contributing to our results. Alongside these structure advancements, we continued our agenda of better serving our clients. We launched a new campaign focused on empowering clients through the power of choice. We are the first investment firm in Brazil to offer transactional fee-based and RIA models. We believe there is no single ideal model. Rather, different models are best suited to different client profiles. By having these different models, complete product range, focus on excellence and the most qualified team of advisers as our main advantage, we became the largest investment network in Brazil. Today, we oversee approximately BRL 2.1 trillion across AUC, AUM and AUA, supported by a nationwide network of around 18,000 advisers serving approximately 5 million clients. Our presence spans almost 800 investment centers across 23 Brazilian states and the federal district, combining scale with local reach. We ranked #1 in traded volume on B3 and processed nearly 50,000 fixed income transactions per day. We had some challenges last year, but by strengthening our business fundamentals, we have positioned ourselves to capture future opportunities. With a robust platform, disciplined execution and a fully committed team, we are starting 2026 ready to grow whatever the market scenario. On the next slide, we will explore how our ecosystem transformed over time and how that transformation brought us to where we are today. This slide captures where XP stands today. We are entering a more mature phase, while we're retaining the disruptive DNA that has always defined our journey. Our evolution has happened in waves. The first wave was focused on democratizing access to financial products that until then were not largely offered by incumbent banks like equities and third-party funds. The education of individual investors was an important pillar in the first wave; and through that, we fostered the development of the investment advisory industry in Brazil. In the second wave, we scaled, broadened our distribution and built a comprehensive ecosystem, consolidating XP as one-stop shop financial platform. Now we are advancing to a third wave, a move that democratize the wealth services model. We are taking a holistic and agnostic approach to give clients true freedom of choice. We have always put clients' power of choice at the heart of our strategy. We remain committed to leading the market forward, guided by our long-standing belief that we play a key role in society by continuously improving the way people invest, manage and think about their money. Our ultimate goal is to help clients achieve their dreams. Now moving on to the next slide. Our transformative track record has brought us to where we are today. We have built a distinctive business that delivers profitability while maintaining a conservative capital structure, giving us the option to operate in a broad range of scenarios. We posted gross revenues of BRL 19.5 billion in 2025, up 8% year-over-year. As I mentioned last quarter, we expected double-digit growth on the second half of 2025, and we managed to achieve that level. In the second half, we grew slightly more than 10% versus second half of 2024, showing that the initiatives we implemented during the year and earlier are responding positively. Year-over-year, EBT grew 10%, reaching BRL 5.5 billion. Adjusted net income in fourth quarter '25 was BRL 1.3 billion and BRL 5.2 billion for the full year, representing a 15% expansion year-over-year. Regarding balance sheet and profitability, we achieved 23.9% ROE in 2025, representing a 94 basis point expansion versus 2024. Our year-end BIS ratio was 20.4%, a very comfortable level even after the payment of BRL 500 million in dividends and BRL 1.9 billion in share buybacks executed in 2025. Finally, our adjusted diluted EPS increased by 18% during the year. Now that we covered our platform, our disruptive profile and the highlights of the financial results, I would like to go in more detail on our business strategy. We have spent the past 2 years developing our service excellence agenda. At first, we focused on building the foundations, systems, incentive models and sales force training. In 2025, we took the next step and began to scale this model. At the same time, we refined our client segmentation, offering tailored servicing models and value propositions for each segment. supported by multiple pricing structures. It's worth mentioning that today, approximately 23% of our retail AUC is already under a fee-based model. We continue to adopt this approach, recognizing that there is no single best model but rather, the most appropriate model for each client. We have also developed different ways to objectively track adherence to this way of serving. One of the most important tools we have is the XP Service Model Index. It incorporates metrics such as financial and wealth planning, quality of client relationships, and adherence to recommended asset allocation. Initial results are tangible. Clients above the index target show meaningfully better financial outcomes with 21% higher revenues and more than double the net asset inflows. As we roll out this agenda, different KPIs will move accordingly. Currently, clients above the index target make up 39% of our AUC, and we expect this number to continue expanding. We will cover this topic in more detail on the next slide. Two important pillars of our foundation are financial and wealth planning and our expert allocation model. We support our clients with a holistic approach based on financial and wealth planning. We help clients navigate complex and highly personal decisions with clarity and confidence. Our work goes beyond investments, encompassing succession, state and tax planning, always tailored to each client's objectives, family structure and long-term vision. We offer financial planning for our clients with at least BRL 300,000 in AUC and comprehensive wealth planning for clients with invested assets above BRL 3 million. We were truly pioneers on democratizing access to these services in Brazil at a time when they were largely restricted to a small group of very wealthy individuals. Additionally, we developed in-house technology that allow us to go beyond and scale the offering of financial planning while maintaining governance and quality. And this is something no other player in Brazil can do. Our second pillar is the expert allocation model, which is a proprietary tool based on algorithmic intelligent design to propose a smart asset allocation. The use of this technology goes hand in hand with our advisory capabilities and considers multiple variables such as available products, liquidity, client profile, the structure of the current portfolio, among others. Through it, we combine the best of both human and technological capabilities, data intelligence, complemented by the depth of human knowledge and strong client relationships built by our advisers. To track the development of our agenda, we measure how usage of these tools evolves over time. Currently, 21% and 12% of targeted clients track their financial and wealth planning with an adviser. Additionally, adherence to the expert allocation tool has been rapidly growing across all segments, and December 2025 was a record month for allocation using this tool. Besides the fact that we are democratizing this service, we can also see on the right-hand side of this slide, we are delivering positive performance to clients. Looking at the number of advised clients' portfolios, 39% achieved returns of more than 110% of the SELIC rate. 23% had returns between 100% and 110%, and 28% obtained returns between 80% and 100% of the SELIC rate. This means that 90% of the advised client base is registering returns of 90% and higher than the SELIC rate. Given that technology is a key component of our business, we will explore in greater detail on the next slide. Technology is a core pillar of XP's growth strategy. Our proprietary platforms and AI-driven capabilities enable scalable expansion while maintaining strong governance and improving adviser productivity. We believe in what we call an augmented adviser, which is an adviser whose capabilities are enhanced by AI. This improvement can be seen in different aspects. First, relationships. We are now able to monitor the frequency and quality of advisers' interactions with clients, providing us with data and intelligence that will ultimately be used to make the advisers better equipped to serve their clients. Second, asset allocation. Technology and AI play a central role in asset allocation supporting portfolio reviews and personalized recommendations aligned with our expert allocation framework. Third, automation. By reducing the operational workload of advisers, automation allows them to focus on higher-value client relationships. By augmenting advisers with AI across relationship management, operations and allocation, we can increase account load and adviser productivity while improving client satisfaction. By monitoring and scoring client interactions, we ensure strong governance, consistent service quality and scalable growth. To close this section of the presentation, I would like to talk about a core part of XP, our adviser network. XP basically created the modern investment advisory role in Brazil, and that role has continued to evolve over time. What began with education and access to equity products has grown into a highly professional, scalable adviser model that supports increasing complex client needs. While we offer a unique value proposition to clients, we also have a differentiated value proposition for our advisers. We equip them with proprietary tools, data and intelligence that enhance their productivity, improve advice quality and strengthen client relationships. This combination of technology, training and incentive alignment is something no other platform offers at scale in Brazil. By continuously investing in the development of more than 18,000 advisers, we reinforce the strength of our distribution network, enhance client relationships and the quality of the service delivered while ensuring the long-term sustainability of our model. Finally, this powerful combination of service excellence, strong client relationships and financial performance together with a sales force that has aligned incentives and robust capabilities corroborates our conviction that disciplined execution backed by governance and technology will drive the performance of our segments towards our strategic objectives. Now let's move on to the next slide to explore our retail investments strategy. This slide summarizes the results we are achieving across our core segments and shows how our strategic investments are producing concrete outcomes. Starting with retail. This segment continues to represent a significant opportunity for us. While we have faced market share pressure and margin compression over the last 2 years, we have taken decisive action to redesign the way we serve these clients with the objective of improving efficiency. The current scenario already reflects early signs of progress with a new value proposition grounded in goal-based investing and managed portfolios. We already see strong initial improvements with margin accretive dynamics. Our strategy now is to expand these initial tests to other client layers, using technology, process and governance as key enablers to scale in a profitable way. In high income, our core segment, fundamentals remain very strong. We have folks most of our investments here. And it's where our competitive advantage stand out the most. We continue to see solid growth supported by our multi-model service approach. As previously shown, financial planning, wealth planning and expert allocation remain at the center of this strategy, reinforcing client engagement and long-term value creation. In Private Banking, we are seeing the results of our recent investments. The segment is transitioning into a full wealth management model, covering both individuals and corporate clients' needs, supported by a robust product platform and a highly skilled team. Growth has resumed with market share gains and expansion in credit and cross-selling within the XP ecosystem. We are still investing in this segment, and we expect to see further market share gains accompanied by margin expansion. On the next slide, we will share our consolidated client assets figure. In the last quarter of 2025, our total client assets combined with AUM and AUA totaled BRL 2.1 trillion, representing a 22% growth year-over-year. This was an important milestone for XP, crossing the BRL 2 trillion threshold. On the right hand of the slide, we show how net new money related to client assets evolved during the last quarter of the year. In 2025, one of the most frequently asked questions for XP was around net new money. To clarify some of the questions we received, we'd like to exceptionally give a little more color on this metric. This quarter, we once again achieved BRL 20 billion in retail net new money and BRL 12 billion in corporate and institutional, totaling 32 billion for the period. As we have been saying in the previous quarters, retail net new money has been impacted by the dynamics of SMBs. In the fourth quarter of 2025, small and medium enterprise withdrew BRL 3 billion in investments from our platform. On the other hand, inflows from individual clients in all our segments totaled BRL 23 billion. While we posted positive figures this quarter and met our soft guidance, we still face a challenging environment for 2026. We are investing in different initiatives to support our future growth. But for now, we remain expecting retail net new money reaching BRL 20 billion per quarter. Retail cross-sell has been one of our focus to diversify revenue streams over the last few years. In 2025, we achieved important milestones in this business vertical. As a result, we have observed higher engagement from our clients across different products, across insurance, cards, consortium, retirement plans and new loans are driving market share gains and record contributions. For 2026, we will continue to innovate and expand our offering, improving the integration of these products in financial planning and enhance the customer journey through a better digital experience. For instance, insurance, we will launch new products, travel, home and credit line insurance. And in life insurance, we will expand our product range with new coverage. Taking cards into consideration, the new loans we had during the year made it possible to increase the share of spending while increasing penetration among target clients. In 2026, we also be launching new products to enhance our cross-sell offering. In the first half of 2026, we are rolling out a proprietary dollar-backed stablecoin, targeting clients who seek to diversify or hedge against FX volatility while providing true 24/7 liquidity. This stablecoin launched Clear proprietary digital currency strategy, and we will expand the portfolio over time. Finally, we will reintroduce crypto service that are fully integrated into our platform with XP operating as a virtual asset brokerage. This ensures a seamless and a trusted experience, fully embedded within our broader investment ecosystem. Overall, this stead evolution in cross-sell products strengthens client relationships, increased share of wallet and diversifies recurring revenue. Let's move ahead to the next slide and review some KPIs from our cross-sell products. Let's start with credit card, where TPV rose 11% year-over-year to BRL 14.6 billion in fourth quarter '25. In 2025, we launched new products, offering unique value propositions for high income and private banking segments. Life insurance written premium grew 25% year-over-year in fourth quarter after we enhanced our offering, including new coverage. In retirement plans, our client assets posted 17% growth year-over-year in fourth quarter, reaching BRL 95 billion. Cross-channel campaigns and client initiatives led to positive inflows. In 2025, we had, for example, record inflows in the defined contribution pension plan with 17% growth year-over-year. Other new products, which include FX, global investments, digital account and consortium collectively grew 21% year-over-year, generating BRL 258 million in revenue this quarter. It's worth noting that these products were built from the scratch only a few years ago and already account for more than BRL 1 billion in revenues per year. On the next slide, we will cover the evolution of our Wholesale Bank. We are operating a complete ecosystem where our Wholesale Bank has become a key pillar of our strategy. Just a few years after we started our wholesale banking activities, we have grown into one of the -- Brazil's largest players. As our retail platform scaled, it generated increased flow and liquidity demand, enabling us to grow our Wholesale Bank by leveraging our global markets and market-making capabilities. What started as a client facilitation has evolved into a sophisticated wholesale banking franchisee, integrating investment banking, institutional access and other capabilities. Through the combination of strong retail distribution with wholesale and market-making capabilities, we have built a powerful ecosystem that improves execution quality and liquidity for clients. In fact, we are leaders in equities, futures, options and ETFs, representing roughly 50% of these markets. Additionally, we have created a complete investment banking, offering a full range of capital market solutions to our corporate clients. This robust structure benefits us in several ways as it not only diversifies our revenue streams but also generates multiple synergies with our investment business. We have been gaining relevance in DCM, for example, and we will continue to invest in strengthening our franchise in the coming years. Finally, in credit agribusiness receivables, we are a leader in distribution as well as in real estate funds. Our Wholesale Bank has posted strong results over the past few years, and there is much more to come as we keep investing in our franchise. Now let's move on to the next slide and see more details on our progress agenda. Looking ahead, over the coming years, we will continue working on different business opportunities. At this stage, we understand that XP is ready to address and capture share in new markets being credit and SMBs, the main prospects in the long-term agenda. In SMBs, we will leverage Brazil's largest adviser network to expand our reach and deepen relationships. Moreover, we will broaden our product portfolio beyond investments and FX to generate more engagement and address SMBs' day-to-day financial needs more holistically. When it comes to credit, we see opportunities for both individuals and corporates. For individuals, credit acts as a catalyst for our investment business, helping us move toward greater primacy. Expanding our tailored solutions, particularly for high-income segments, will be central to our agenda. For corporate clients, we remain focused on structured solutions and expanding our corporate product offering to improve competitiveness, including receivables, government-sponsored funds and real estate solutions. Overall, our strategy is to expand our credit offering while maintaining the conservative, prudent approach that has long defined our business. These opportunities are once again medium to long term. I will now hand the presentation over to Victor, who will discuss the quarter and full year financial results. Thank you.
Victor Mansur: Thank you, Maffra, and good evening, everyone. Before I start, I would like to do a quick recap of some achievements and commitments for the past 2 years. First, corporate restructuring. We are now entering into the final phase of our corporate restructuring, in which we will further concentrate activities in XP Bank, materially improving our capital and funding costs. The new structuring has increased our competitiveness, optimizing our warehouse strategy during the year. We already captured part of these benefits in 2025 with reduction in funding costs, plus the reduction in cost of [ which ] to do the emission of subordinated notes. And we expect to have another positive impact in 2026 and the following years. As a result, we see the expansion of both our financial margin and EBT margin for 2025, and we expect to keep this pace for 2026. Second, our balance sheet management. In 2025, both our EPS and net income grew faster than our total assets and total risk-weighted assets. Combined with our disciplined capital allocation and distributions, this drove our ROE expansion of approximately 90 basis points, even though our BIS ratio is higher than 20%. Third, efficiency. Our continued technology investments are delivering operational leverage across many business fronts, allowing us to keep our investment pace, while we keep a stable efficiency ratio year-over-year. So now starting with total gross revenue. In our fourth quarter, total gross revenue reached BRL 5.3 billion, representing a 12% increase year-over-year and 7% sequentially. For the full year of 2025, total gross revenue was BRL 19.5 billion, growing 8% compared to 2024. The performance highlight was Corporate & Issuer Services with a strong second half of 2025. When we compare to gross revenue breakdown on the right-hand side of this slide, in 2025, retail maintained 75% of total revenues and Corporate & Issuer Services gained in this space. Now let's move on to the next slide with more details on the different business. In the 4Q '25, retail revenues totaled BRL 3.9 billion, up 8% year-over-year and 4% sequentially. For the full year, retail gross revenue reached BRL 14.6 billion, increased 8% versus last year. Retail revenue growth in 2025 was supported by float for both investments and checking accounts, new verticals with credit card, retirement plans and insurance leading the way; and as a new initiative, international investments; fixed income performance, with a strong first half of 2025 and decent figures for the second half, supported by warehousing strategy. So now let's turn to Corporate & Issuer Services. In the fourth quarter, revenues reached BRL 895 million, representing a 49% increase year-over-year and a 23% increase sequentially. This was the strongest performance in our history for this business, both in Corporate & Issuer Services. The strong performance was driven by a robust activity in the DCM space, reaccelerating from a softer first half. In addition, our ability to cross sell and deliver a broader set of solutions to our corporate clients, such as derivatives and credit continued to support revenues, leveraging on our strong distribution capabilities across the platform. For the full year of 2025, Corporate & Issuer Services revenue totaled BRL 2.7 billion, up 19% compared to 2024, making a new level of corporate revenues and consolidating this segment as an important business line for XP. And now let's move to our SG&A and efficiency ratios. SG&A in the fourth quarter amounted BRL 1.7 billion, growing 10% year-over-year and 4% quarter-over-quarter. For the full year, SG&A totaled BRL 6.3 billion, reflecting continued investments in technology such as AI and CRM and also our expansion of our adviser network. As I mentioned earlier, it is the operational leverage capture from technology and innovation developments that will allow us to keep our elevated investment pace in different areas of the business while keeping the same efficiency level. Additionally, the efficiency ratio in 2026 should remain broadly in line with 2025 levels without any material change. As we can see on the right hand of this slide, our last 12-month efficiency ratio for the fourth quarter stood at 34.7%, stable compared to 2024. Our adjusted EBT reached BRL 1.5 billion in the 4Q '25, increasing 20% year-over-year and 16% quarter-over-quarter with an adjusted EBT margin of 31.3%, an up 252 basis points year-over-year and to 271 basis points quarter-over-quarter. That means that we have reached the range of our guidance margin during this quarter. For the full year of 2025, adjusted EBT totaled BRL 5.5 billion, growing 10% versus last year with an EBT margin of 29.6%, expanding 52 basis points year-over-year. On the next slide, we will see our adjusted net income. Adjusted net income for the quarter was BRL 1.3 billion, up 10% year-over-year and stable sequentially. Our net margins were 26.9% in the 4Q '25, 9 basis points lower year-over-year and 166 basis points lower sequentially. For the full year, adjusted net income reached BRL 5.2 billion, growing 15% compared to 2024 with 28.3% net margin, 173 basis points expansion in the period. Let's move to the next slide to talk about capital management. Starting with capital returns. In 2025, we returned BRL 2.4 billion in capital to shareholders through dividends and buybacks. We also continued to have our BRL 1 billion share buyback program currently open. On the right-hand side of this slide, you can see the evolution of our payout ratio over the years, including last year, we had a close to 15% payout, considering both buybacks and dividends. Now talking about earnings per share and ROE. Once again, we would like to highlight that our earnings per share continues to grow faster than net income, driven by our consistent buyback execution just like we explored in the previous slide. Adjusted EPS in the fourth quarter was BRL 2.56, growing 15% year-over-year and 4% quarter-over-quarter. For the full year, adjusted EPS reached BRL 9.81, increasing 18% versus last year. Only in 2025, we have retired more than 24 million shares, approximately 4% of the total share outstanding. Now looking at our profitability, ROAE and ROTE. We see our adjusted return on equity for 2025 reached 23.9% and 94 bps expansion, while return on tangible equity was 29.5%, a 78 basis points expansion versus 2024. This reflects our capital disciplines that allow us to consistently return capital to shareholders while simultaneously growing and investing the business to further differentiate ourselves from our peers. Finally, on capital ratio and risk-weighted assets. We closed the quarter with a BIS ratio of 20.4%, with the CET1 ratio at 17.3%. In 2026, we operate the business with a high BIS ratio during the year. We are comfortable with getting our BIS ratio to our target range of 19% to 16% toward the end of the year for capital distributions while still maintaining a comfortable capital buffer. Additionally, we ended the year with a CET1 ratio of 17.3% compared to our peer average of 12%. If we were running the business at the same CET1 of 12%, ROAE would have been above 13%. Now looking at the right-hand side of this slide, you can see our RWA breakdown by category. Risk-weighted assets totaled BRL 119 billion, growing 13% year-over-year and 11% quarter-over-quarter. As we expected and communicated in certain occasions, total RWA growth was lower than our net income and EPS for the year, even with a strong performance from the wholesale business. In parallel, our total assets adjusted for assets under management from retirement plans grew 8% versus 2024, also less than our bottom line. More specifically, during the quarter, we increased the warehousing of fixed income securities, mainly corporate credit, aligned with strong DCM activity, our growing capacity to originate corporate deals and market timing opportunities. Lastly, because of this increase in warehousing, our value at risk from which important companies' credit risk spread went to BRL 39 million or 17 basis points of [ equity ], stable on a year-over-year perspective and 4 basis points higher sequentially but still in a very conservative level. We expect to distribute a portion of these assets at the beginning of 2026. This level of warehousing capability was only possible due to the development of XP Bank's funding structure, as previously highlighted. With that, I end my presentation and hand it over to Maffra, so he can make his final remarks. And then we'll go to the Q&A.
Thiago Maffra: Thanks, Victor. Before the Q&A, I would like to quickly go over the strategic foundations directing our priorities for 2026. Excellence is our main growth pillar. Over the past years, we have invested heavily in scalable process, governance and technology. And in 2026, we begin to see these investments maturing and is starting to translate into results. This is reinforced by a skilled and well-trained sales force with aligned incentives ensuring consistent execution across the organization. We continue to invest in a highly disciplined manner, particularly focused on wholesale banking and the B2C channel while refining our segmentation to ensure a clear and accurate value proposition for each client profile. This will enable us to grow with quality in a profitable and sustainable manner. On the capital front, our priority is to sustain strong and consistent returns backed by a conservative capital structure. This discipline provides the flexibility to operate across different market scenarios, maintaining resilience and readiness to capture opportunities. Together, these foundations ensure that we enter 2026 with a solid business structure and disciplined capital allocation. Lastly, before starting the Q&A, I would like to address an ongoing topic within the financial system. First of all, we would like to express our deep concern regarding everything that has been reviewed in recent months involving Banco Master and the extent of irregularities identified. We also want to acknowledge the important and diligent work carried out by the Central Bank as well as the responsible media coverage that has helped Brazilian society better understand with greater transparency what has occurred through ABBC and FEBRABAN, we are actively supporting structural improvements aimed at preventing situations like this from happening again in our financial system. The Central Bank has been advancing in the right direction over the past years, although we understand some relevant adjustments are still necessary. That said, this change must be implemented responsibly so that Brazil does not risk reversing the significant progress achieved in recent decades in terms of competition and a broader and more efficient access to financial products and service. We should be careful not to adopt measures whose unintended consequence would be to reestablish excessive banking concentration or to enable business models built on consumers' lack of information or as Director Galipolo rightly pointed out some months ago, products that function as a reversing Robin Hood. For more than a decade, the Central Bank has consistently pursued an agenda to increase competition and improve both quality and the cost of financial service through initiatives such as BCPs. Digital banks and investment platforms have played a central role in this transformation, expanding access to banking service without fees and reducing long-standing asymmetries in traditional investment products, such as Poupanca saving accounts, [ PIC ] and titulos de capitalizacao. 25 years ago, we helped transform the system by building the first open platform in Brazil, giving clients across all income levels access to financial education and high-quality investment products. Over time, we have contributed to reshaping the market by fostering competition, improving product quality, reducing costs and ultimately, delivering better outcomes for our clients. We do offer proprietary products, but we have always distributed third-party solutions, including from competitors. Choice, transparency and alignment with the client always come first. We do not charge abusive or opaque fees, and clients pay nothing to open or maintain an account with us. Our mission is simple: to improve people's life by helping them invest better. This principle guides every decision we make and remains the foundation of our work as we continue to support Brazilians in managing their money, investing responsibly and planning for their future. Andre Parize, we will now start our Q&A session.
Andre Parize: Thank you, Maffra. Now we're going to start the Q&A. The first question is from Eduardo Rosman from BTG.
Eduardo Rosman: I have 2 questions for Maffra. The first one is regarding the ambition to become Brazil's leading investment platform by 2033. Can you provide a little bit more detail why 2033? What's the metric that you use to define that, that being a leading firm? Is that market share? Do you see revenue client base or something else? And do you believe that doing more of the same but better will be enough to reach this goal? Or would you require more powerful banking and credit capabilities? That would be the first one. And the second one, regarding your entry into the controlling group. Practically speaking, what does that change mean to you?
Thiago Maffra: Thank you for your questions, Rosman. The first question is when we say that we want to be leaders in investments in 2023, it's about market share. Okay? So that means that we have our internal plans here. Our long-term view is to become leaders in 2033 in market share, and that's the -- it's '33 because our plans -- every plan that we have gives us that we can get there in 7 years. Okay? So that's the number -- the reasons when we look how much money, net new money we have to bring in the next years by different channels, by different segments. The plans, they point out that we can get there in '33. How we get there, first, with the third wave. Okay? So as we mentioned in the past earnings call, in all the conference, we have been investing a lot on the third wave, on democratizing wealth planning for retail clients in Brazil, so democratizing the service that only private banking clients or even multifamily, obviously, clients have in Brazil. So that's the main point here. It's -- a lot of people don't get how big is the change here because most of the financial companies in Brazil and banks, they still have like the model of pushing products. Okay? It can be a basket of products and investment portfolio, but it's a product-driven approach. We have been changing that for the past 2 years. We have changed incentives. We have changed the way of serving clients. We have done a new segmentation in the company, new value propositions, and we are seeing big improvements in all the numbers, churn, EPS and all -- a lot of other metrics here. So we are very excited with the next years when we look at everything we have been doing on foundations and changing -- almost changing the business model in the past years for the future. Of course, we have different strategies for different segments. We have been investing a lot on the private banking platform in the past 3 years. We have been gaining market share in the past 2 years; and last year 2, 2025 it accelerated. And we believe that we can grow faster here on private banking. On the middle, the affluent clients, it's more of the same with more intensity, with more technology, with more process with the new value proposition of more services, more wealth planning. And when we go to the retail clients, we have found a new way of serving more goal-based, low human touch, so a completely different value proposition. That is becoming a reality, I would say, in the last year and that we are very confident that we can accelerate in the next years. So different strategies for different segments but all based on the third wave here. So of course, as you mentioned, the full ecosystem, the banking part, insurance of that reinforce the value proposition for investor clients. And as you have seen in the past quarters and past years, we are, like every quarter, every year, like better on the cross-sell products, and we have a big road map for the next quarters here, so -- but we are ready to accelerate in the future. Okay? About the second question, the control, being 100% honest with you, for myself, nothing changed. I've been with the company for 11 years. I was a partner in a different way, but I was a partner. I have always acted as owner of the company, so nothing changed on the way I behave or the way I see the company. But I believe it's even a stronger alignment between the executives that are running the company, Jose Berenguer and I, alongside Fabricio Almeida and Guilherme Sant'Anna, so 4 executives that run the company on a daily base, and of course, Guilherme. So I believe it's a stronger alignment for the long term, but nothing changed the way we manage the company here. And besides that, Gabriel, Bruno and Bernardo, they continue to be a shareholder in the company. They continue on the Board. So it's a natural evolution here, a natural process, so there is no big change here on the company.
Andre Parize: Okay. Next question is from Thiago Batista, UBS.
Thiago Bovolenta Batista: Hear me?
Andre Parize: Yes.
Thiago Bovolenta Batista: I have one question regarding the recommendation that CVM released yesterday about the internalization of orders. In my understanding, this should be a little bit positive for your RRP business. But do you have any view if this really positive or not for XP? And the second question on the taxes. We normally complain when the taxes were low. Now we're complaining when the tax increased. But my question on the taxes is trying to understand if this hike in the taxes in this quarter is related to the change in the quality of structure and also, if this is linked with the consumption of the tax on tax losses carryforward. You reduced by BRL 700 million, BRL 800 million of those tax credits only in 1 quarter, if all those things are correlated.
Thiago Maffra: It's Thiago here, so I will take the first question. It's a very positive news for us. Once you don't have the cap and you can include other assets, so it's very positive. Okay. You remember that we were the first company back in 2015, I remember it was the one responsible for building RRP back in '15 here for XP and until 2019 was, I would say, a big journey to make the product regulated. So -- and today, seeing the product like evolving, not having cap, going to other assets or other type of instruments, so that's very positive because we are the largest market making in Brazil for retail clients. So it's positive for a business. It's positive for the market, for the clients, so -- and of course, we'll generate more revenues and more results for our market making. So it's positive.
Victor Mansur: Thiago, this is Victor. First, about taxes. I think we talked a lot about that in the past. Our base tax rate is something near 15%. If the business is more toward the banking activity, investment banking, DCM and broker dealer, we're going to pay a bit more. And if the business is more towards market making, we're going to be a bit less. If you look at the revenue mix for the quarter, the main highlights was issuer services and corporate banking, both, of course, made in the -- inside the bank and the broker dealer, and that's why we are paying more taxes. Also, those revenues are less heavy in terms of commission. Those assets were not distributed to retail clients. So the EBT margin associated to those revenues are also higher. Talking about the quality of structure, this change will only happen in 2026. It did not happen yet in 2025. So it has nothing to do with the taxes. The taxes are an effect of the revenue mix. I'm sorry, what was the other question?
Thiago Bovolenta Batista: Was if this was -- the higher tax was the cause of the reduction in the tax losses carry forward.
Victor Mansur: It's not because of that. It's the revenue mix that explain both revenue, tax and EBT.
Andre Parize: Okay. Next question is from Gustavo Schroden from Citi.
Gustavo Schroden: I'm going to do 2 questions as well. So the first one is regarding the reimbursements by the FGC to the depositors of Banco Master, so estimated in BRL 40 billion. So how has XP been performing? So I believe that the company has designed a strategy to capture these volumes -- part of this volume. So any color on that would be great, if you should expect any positive impact in the first quarter '26 regarding it. And my second question is regarding the NPS. We saw a decline in NPS to 65 points from plus 70 points baseline. So could you elaborate on this? What's behind this decline and how the company is addressing this decline in NPS?
Thiago Maffra: Okay. Thank you for the question. I will start with the NPS question. It's -- the drop is related to 2 events that we had on the fourth quarter. We had the Ambipar structured notes, and we had a lot of news and noise about Banco Master back especially in December. So there is a selection bias for clients who were impacted by these 2 events. They are more propensed like to respond the NPS than clients that were not impact by the events that happened. So when we look at margin, we see the NPS improving again. So we believe it's going to be temporary affected by the 2 events that I just mentioned. And to give a color that the impact is not that material, usually, when we have big maturing of fixed income, for example, inflation, government bonds or like big corporate maturing bonds in Brazil, usually, we retain 70%, 75% of the amount because usually people take the liquidity to pay bills or to do something outside of XP, so give or take is 70% the retention rate. Okay? And when we look, Banco Master today is above 85%. Okay? So it's higher than a regular maturing event. So I'm not sure how we are going to disclosure the net new money for Q1, but somehow, we will have like to show these numbers. So there's a huge inflow of money from Banco Master as we are keeping more than 85%. But not sure yet how we're going to disclosure, but we'll disclosure between net new money and the retention.
Andre Parize: Okay. Next question is from Guilherme Grespan from JPMorgan.
Guilherme Grespan: My question is just on the outlook for 2026, and this is the environment that we are seeing. Fourth quarter still showed similar trends, right? Issuer services, very strong. Corporate solutions, very strong. Fixed income, a little bit weaker. Equity is recovering a little bit but still timid. But my question is more going forward. Like question maybe, one, do you think this performance of Corporate Solutions & Issuer Services is sustainable in the beginning of this year? And question #2, if this environment that we are seeing year-to-date, it's a good performance of risk assets but it's mostly led by foreigners, right, we don't see a huge change on the local dynamics, if you believe you're benefiting much from this environment or, no, you don't benefit as much because it's mostly foreigner-driven, this good performance?
Victor Mansur: Guilherme, thank you for your question. Victor here. First, talking about corporate, I think our corporate business is in another [ part there ]. We evolved a lot in terms of product, cross-sell, clients and do so. I think we can -- we are able to keep this pace over 2026. And talking about the performance of the other risk assets, as you said, it's still too soon to say that this will reflect in take rate. If you see volumes both in fixed income and acquisitions from retail clients, they are not going up. The movement is mainly driven by foreign clients. I think if the performance keep this way over the year, we may see a bit of trading activity coming from individuals. And of course, they will be reflecting in actual revenues, but it's still too soon to talk about that. Also, in terms of fixed income, I think we need to see the Central Bank delivering the cuts that we have in the interest rate curve. If that happened, we may see the compression of the duration in fixed income, or something that we talk a lot about over the last 2 quarters. But again, we need to see the marketing going in this direction, both in equities and fixed -- and rates to be able to see something reflecting on revenues.
Andre Parize: Great. Next question is from Marcelo Mizrahi from BBI Bradesco.
Marcelo Mizrahi: Congratulations for the results. Two questions. First is regarding the guidance. So if you guys plan to update the guidance to 2026 with the environment that we are talking now, first, second, the guidance of revenues and the guidance of margins. Second question is regarding the perspective to have -- I think it's better just to talk about the guidance, please.
Thiago Maffra: Mizrahi, yes, the guidance holds. We have no reason today like to change the guidance. We believe 2026 is going to be a stronger year than 2025. As we have been talking in the past quarters, we are projecting to get very close to the guidance. Margin is there already. Okay? And when we look revenues, if you project, we are very close. So there is no reason to change the guidance right now.
Marcelo Mizrahi: I remember my question. So my question is regarding the RWA. So we saw an increase of this -- the leverage, so definitely because of the offers. So looking forward, how much this leverage, so the RWA could increase? So you guys have some cap on that or some targets that you can share with us?
Victor Mansur: Thank you. Thanks for your questions. First, as usual, we bought assets for our warehouse book in the fourth quarter to have assets to sell to our clients in the first. That is exactly what is happening. I think what we can say about RWA is the same we said last year. We are very confident that net income will grow faster than the risk, and that will be the case for 2026.
Marcelo Mizrahi: Any perspective of adjustments on the payout policy to increase payouts or to reduce the payouts with that?
Victor Mansur: We have our BIS ratio guidance for the end of the year. We -- as we said during the presentation, we're going to pass the year of more strong capital base, but we are confident that we're going to be inside the guidance by the end of 2026.
Andre Parize: Next question is from Tito Labarta from Goldman Sachs.
Daer Labarta: Following up on Mizrahi's questions on the guidance just so I'm clear, make sure I didn't miss anything. The guidance you had given was back at the Investor Day where you guided for gross revenues of BRL 22.8 billion to BRL 26.8 billion. I mean, even at the low end, that would imply almost 20% revenue growth year-over-year. Just to make sure that's the guidance we're talking about. And that would be a big acceleration from the 8% growth that we're seeing here this year. And you also mentioned net inflows, you expect to remain around BRL 20 billion, so we don't see an acceleration there. Just to make sure that I'm understanding the guidance on the revenues that we should be thinking about.
Thiago Maffra: Thank you, Tito. Yes, we are talking about the same guidance. So the number to get at the bottom of the guidance this year is 17%, the growth for revenues for 2026. So as we have been talking, it's not going to be easy, but if we miss, it's going to be by a small percentage. So there is no reason like to change guidance for 3 years if we miss by a very small amount. So -- and again, we believe we -- it is possible to get there. Okay? So -- and about net new money, we don't see any reason today to change the -- it's not a guidance, but we have been talking about the BRL 20 billion level. It's what happened in the past 3 quarters. So there's no reason to change for the next quarters. But again, for the -- our ambition to get to 2033 as a leader in investments, it will have to accelerate at some point in the future, but we don't see that happening on Q1 or Q2 for all the reasons we are -- and numbers we are seeing here.
Daer Labarta: Okay. No. That's good. Good to hear as well. And I guess the driver of the acceleration, I mean, you're saying first Q, 2Q, maybe you don't see it, so second half of 2026 as interest rates come down, I think -- I mean, equity and fixed income are still like the biggest portion of your revenues. You think that should accelerate, I guess, as rates come down? Is that the right way to think about that?
Thiago Maffra: No, we're not considering like a better take rate here or like a market improvement to get there. They are like all levers that we control. So we are confident that we can grow this year at higher pace than 2025.
Daer Labarta: Okay. But it is back-end loaded, right, more second half of the year, if I understood the comment earlier?
Thiago Maffra: We always have seasonality. This year was lower than the past years, but usually, we do 40 -- 45 and 55 of our results on the first [ half ]. It was a little bit more flattish in 2025. But yes, usually, we accelerate more on second half of the year.
Andre Parize: Next question is from Pedro Leduc from Itau.
Pedro Leduc: First question on SG&A. Here, you grew for the full year about 8%. I understand you're going through an investment cycle. So here, I'd like to hear your thoughts on what the priorities will be in 2026. What are the pains that you're trying to solve with investments? And you mentioned in the call, I believe, stable efficiency for 2026. Now we're talking about high teens revenue growth. So help us reconcile that SG&A, really understand what priorities you are doing and where we should look for signs of success of these investments.
Victor Mansur: Thank you for your question. I think our main investments will be, as always, in our core business. So we're going to be investing in adviser expansion over the year the same as the last years. We're going to be investing in technology. So we have a lot of technology investments in AI. Those technologies will be used to customer relationship management and adviser productive. Both focus on having more account load with more quality and more NPS. And I think that's the way that we're going to measure that. And also, we have some investments in our international platform and our [ PME ] platform, cash account, bank account, every product around the companies, the companies that we're going to provide over 2026 and '27. And I think that mostly those are the big chunks of investments that we're going to do in 2026 the same as we did in 2025.
Pedro Leduc: Okay. And with the efficiency level, you mentioned flattish that talks with the mid-teens revenues.
Victor Mansur: Yes. As Maffra said, we are confident that we are going to pursue our guidance level, and that implies the efficiency ratio and the expenses we're going to grow. And of course, we have some kind of maneuverability here in the number if the revenue doesn't come, if they are faster than what we expect. But the number is around that.
Pedro Leduc: Okay. And sorry, just to be picky on this part on the revenues, we understand you're going to go through some structured changes that would change also income tax and revenues. So when we talk about mid-teens, high teens revenues, that's excluding any accounting changes that will happen as you transfer these operations, correct? So be comparable.
Victor Mansur: If you look at 2025, we did a lot of restructuring over the group. When we send some companies through the bank and we start changing the way we look at indebtedness in the company, we lost something around BRL 500 million in revenues over 2025 that went through the net interest margin. And we said nothing about that. So I think the growth of the revenues in the area, we're going to have a lot of mix the same as we have in 2025. If other companies going to the bank, we're paying some corporate debt and changing for banking debt, then therefore, going to reduce their revenues, and we're going to have some positive effects also. And I think in the net, we're going to be delivering the numbers that Maffra said.
Pedro Leduc: Okay. No, that's very clear. The overall message is very clear.
Andre Parize: Okay. Next question is from Antonio Ruette from Bank of America.
Antonio Gregorin Ruette: I have 2 questions on my side. The first one is a follow-up on taxes. I understood that you should have an average tax rate of close to 15% and higher than that if revenues are more skewed to banking. And now if I'm looking here in your tax withholding in funds line, I see a very sharp decline Q-on-Q and this line very below your historical average. And it does not look related to the revenue mix. So if you could please explain what's related for. And thus also a second one, AI. I think it's an important topic, particularly when you are shifting between business models. So you are looking towards migrating towards B2C model. I understand that this is an opportunity to grow in the B2C with lower expenses, lower investments. But also it's a trap, right, because it's a model without in-person interaction, and that could be mimicked by AI, by another player. So how do you see your strategic shift right now considering AI?
Victor Mansur: Antonio, I'm going to take the first question here. First, it's very hard to talk about the results of individual entities in the group. And as we said before, it's -- you cannot explain the performance of one business or another looking at the [ guidance ] or the quality of performance. Also, after 2026, if the restructuring of the group, we're not going to have [ default ] tax anymore, and we're not going to disclose this number. So I think the important thing here, if you look at the mix, if you look at the accounting levels, you're going to see the same things we are looking at the managerial level. You're going to see the banking revenues, banking fees, credit fees, fees from DCM offerings, and that was the strong part of the quarter, and that's why we are paying higher taxes than before.
Thiago Maffra: The second one, so I'm not sure if it was clear on the presentation, but we do not believe in taking the financial adviser, the human out of the equation here. Okay? So it's always using technology, using AI to improve, to make the adviser better. Okay? So we have different AI agents here to help the adviser to have more relationship with the clients, to take the operational workload out of -- from -- out from the adviser. We have a lot of tools that we have been creating in the past 2 years to help the advisers to perform better, to increase the account load, to increase productivity, to increase the level of service that we deliver to customers. But it's always how to improve the human. Of course, when we talk about the -- remember that I said we have 3 big segments here. Of course, we have some other in between segments but 3 big ones. Of course, for the BRL 0 to BRL 100,000 segment, here, we can do 100% digital. Okay? But we don't believe or we don't -- we don't like the idea of having like a BRL 1 million client or BRL 10 million clients going only through like an AI. It doesn't help. It doesn't happen because it's a trust business. Okay? So people like to tell to people when they are talking about their lives, their dreams, so they want to talk to someone. So the whole idea here is how we use AI to improve the performance, to improve the service that we deliver to our customers. So we have been developing a lot of initiatives here. It's -- some of them are very promising. For example, today, we listen. We read. So we have governance over all the interactions that our B2C internal advisers have with customers. We classify 100% of them. So we know everything that's happening. We give advice for the internal advisers about what they are doing right or wrong. We give broad advice. We give advice of interactions with customers. So we are very excited with the results that we are getting from AI on the company, and -- but again, it's not about replacing the human or the human adviser. It's about enhancing the adviser. Okay? So that's the idea.
Andre Parize: Okay. Next question is from Daniel Vaz from Safra.
Daniel Vaz: I want to try to understand the aftermath of Banco Master, right, episode, both for XP internally and for your client base. So trying to break this down in 2 parts. First, for you, any way -- any changes in the way you filter your products to distribute? I mean how did that episode was discussed in your Board of Directors? So are -- is it -- got to the point that you discussed like are we going to distribute these types of products again? So how is the filter that you want to do after it or if there is any that you want to put additionally? And to your client behavior such as the ones that were involved probably, you mentioned, I think it was in the past presentation, about clients going to more risk-averse CDs. Kind of 50% of your marginal allocation in fixed income was little more to high liquidity products and less yields. So I want to try to understand like what has changed into the third quarter so far to the fourth quarter so far in terms of investment decisions by your clients and mainly on the aftermath of the episode of Banco Master.
Thiago Maffra: It's important to remember that our clients, they -- 99.9% of them, they're like under the FGC, the FGIC -- Brazilian FGIC coverage. So our clients, they didn't lose any money. On the opposite, they made an investment that had a good return. Okay? So our clients, they didn't lose any money. We don't recommend Banco Master over FGC, as we don't recommend for any bank below a certain threshold of our internal rating. Okay? So of course, every time that something like that happened, we look for our internal controls, our credit analysis to see what we can improve, and we are improving. Okay? It's part of the journey. But remember that we have more than 50% of market share of all middle-sized and small-sized banks in Brazil, so -- because remember that the traditional incumbent banks, they don't rebuild third-party CDs. So it's basically only the independent investment platforms. And we are the largest one in the market. So for -- and remember that, in some other cases, [ Gicaza ], [ Bejica ], we didn't distribute the Portocred. We didn't have the products on our platform. Okay? So our credit analysis was good in some events in the past. When you have frauds or the kind of events that everyone is raging on the news right now, it's almost impossible. Otherwise, no one would lose money on credit. No one would have lost money on Lojas Americanas or Eike Batista companies or other frauds. Okay? So when you have this type of problems, it's hard to get. But of course, we have to look inside, see what we have to improve in our controls. But again, we have only distributed products that we believe they are suitable for our clients on the right risks for the right customer profile. We have internal controls today that we cannot allocate more of any type of fixed income products with credit risk above the threshold for that rating for that type of client. Okay? So we are very strict on controlling that. And again, our clients, they didn't lose any money here on Master. Okay? So that's important. About the changing mix after the event, we don't see any big change, okay, to be honest. We don't see -- of course, you have one other name that we're involved on the same problem. For those names, they are not even on our platform for a few months or even years. Okay? So -- but besides that, we don't see big change for other type of small or mid-sized banks.
Andre Parize: Okay. Our earnings call is coming to an end. Thank you for your time. We see that there are more people who want to make questions, so IR team will be more than happy to attend to you. Just contact us, and see you soon. Thank you very much.